Operator: Good day, everyone, and welcome to the Verisk Analytics First Quarter 2016 Earnings Results Conference Call. This call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Verisk's SVP and Treasurer, Ms. Eva Huston. Ms. Huston, please go ahead.
Eva F. Huston - Senior Vice President, Treasurer, and Chief Knowledge Officer: Thank you, Chris, and good morning to everybody. We appreciate you joining us today for a discussion of our first quarter 2016 financial results. With me on the call this morning are Scott Stephenson, Chairman, President and Chief Executive Officer; and Mark Anquillare, Chief Financial Officer. Following comments by Scott and Mark highlighting some key points about our strategic priorities and financial performance, we will open up the call for your questions. Unless stated otherwise, all the results we discuss today will reflect the classification of the healthcare business (0:53) operations. The earnings release referenced on this call, as well as the associated 10-Q, can be found in the Investors section of our website at verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. A replay of this call will be available for 30 days on our website and by dial-in. And finally, as set forth in more detail in yesterday's earnings release, I will remind everybody that today's call may include forward-looking statements about Verisk's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect future performance is summarized at the end of our press release as well as contained in our recent SEC filings. And now I'll turn the call over to Scott.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Thanks, Eva. Good morning, all. In the first quarter, we delivered strong overall results, with total revenue growth of 28%, EBITDA growth of 24% and an increase in diluted adjusted EPS of 19%. Organic revenue growth was 5% and was 7% excluding the first quarter 2015 nonrecurring project revenue at Argus and a one-time true-up of partner revenue this year in the Decision Analytics Insurance segment. Profitability remains strong with total EBITDA margins of 50%. We continued to be encouraged about the performance of our businesses in our key verticals of insurance, financial services and energy. This quarter is a good start to the year and we will look to build on these results. On April 25, 2016 as you know, we announced the signing of a definitive agreement to sell the healthcare business to Veritas Capital for $820 million. We expect the sale to close by the end of the second quarter. The returns we generated on the business reflect value creation for our shareholders with a pre-tax IRR of about 12% through our ownership period which began in 2004. One of our most important responsibilities is the careful stewardship of our shareholders capital. We continually assess our assets and their productivity as well as opportunities to deploy new capital in line with our strategic priorities. Consistent with our capital allocation approach, we identified and evaluated a range of alternatives. We determined that we have better uses for the capital invested in the business and for any future capital which would've been required to make the operations more Verisk like. Additionally, we believe that management time should be directed to areas where we can have the most impact in driving shareholder returns. This transaction will allow us to focus on data analytics businesses in our key verticals which are most closely aligned with our strategy, our distinctives and global ambitions and where we believe we can add the most value. The majority of the proceeds will be allocated towards future acquisitions and repurchases, consistent with our long-term approach we've discussed with you in the past. We remain committed to our 2.5 times steady-state leverage. Pro forma for the sale of the healthcare business and related proceeds at March 31 we would have been at that level. I'm glad to have found strong ownership for our healthcare business and very much wish the team continued success. We go forward from here better aligned with the key distinctives which mark excellent, vertical, data analytics businesses. We have higher margins, more stable revenue growth, less seasonality, a higher mix of subscription revenue and stronger free cash flow conversion post this transaction. Overall, we look even more like the Verisk business model that we all value. During the quarter, we returned capital to shareholders through the repurchase of $116 million of our stock. At March 31, 2016, we had $353 million remaining under our share repurchase authorization. In addition, we remain active, looking for strategic and financially sound tuck-in acquisitions. As you may have seen, we recently acquired Risk Intelligence Ireland, a leading provider of fraud detection compliance, risk control and process automation services to the Irish insurance industry, which becomes part of our ISO solutions business. This acquisition advances our efforts to expand our insurance business beyond the United States. We remain constructive on the outlook and expect acceleration in our combined insurance businesses and double-digit growth at Argus. WoodMac continues to perform remarkably well in an environment which is extraordinary difficult for our customers. The team is working very hard to achieve growth for the year, even as we acknowledge the macro environment continues to be challenging relative to historic norms. In a recent achievement of note, Verisk was included in the Forbes list of America's Best Employers 2016. This follows are inclusion in the Forbes World's Most Innovative Companies list. Verisk is one of only 15 companies to appear on both lists. We are working hard to attract and retain great talent as we continue to make progress fostering a culture of innovation. We apply that innovative thinking in working with our customers to find new solutions to their challenges by leveraging our unique data assets and methods. And I personally am inspired by the efforts of our people and I think that shows through in the results we have been delivering. We are well positioned to execute on our strategies and global ambitions in the future. So with that let me turn it over to Mark to cover our financial results in more detail.
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Thank you, Scott. In the first quarter, we again delivered both revenue and EBITDA growth, while also investing for the future. Revenue grew 28.2%. Organic revenue grew 5%, excluding recent acquisitions. If you adjust for $11 million nonrecurring project revenue in Argus in the first quarter of 2015 and several million dollars of true-up revenue in Decision Analytics insurance this year, organic revenue growth was 7% in the quarter. EBITDA grew 24% to $248 million. EBITDA margins were 50.4% for the quarter. Within the Decision Analytics segment, revenue grew 46.7% and 4.8% in the first quarter, excluding acquisitions. Adjusting for the nonrecurring financial services project revenue last year and true-up insurance revenue this year, organic revenue growth in the segment was 8.5%. Revenue in the quarter was again driven by insurance. Decision Analytics insurance revenue grew at 11.6% in the first quarter, increase was led by strong growth in claims analytics solutions with good growth in loss quantification, catastrophe modeling and underwriting solutions in the quarter. Even excluding the several (7:29) million dollars of true-up revenue, growth in Decision Analytics insurance was about 9%. Financial services revenue decreased 19% in the quarter and increased 17.7%, after adjusting for last year's nonrecurring project revenue, with solid underlying demand for our core solutions and services, offset by prior-year project revenue of $11 million which did not recur in 2016. Energy and specialized markets revenue grew by over 350%, including the recently acquired Wood Mackenzie, PCI and Infield businesses. Organic revenue declined 3.6%, as growth in the environmental health and safety solutions was offset by a decline in weather and climate analytics. WoodMac revenue, in constant currency, excluding PCI and Infield, increased slightly in the first quarter 2016 and, as reported, declined slightly, when including the effect of purchase accounting. We expect pro forma constant currency revenue to be flat in the second quarter, as reported. As we think about the full-year outlook as reported, we expect to be near flat. Also, as we move through the year, keep in mind that currency will have an impact on our reported results. Risk assessment revenue grew 5.2%, continuing to demonstrate the value of our longstanding insurance customers. Industry-standard insurance programs revenue grew 5.2%, reflecting our 2016 invoices, which were effective January 1 and continued contribution from newer solutions, such as predictive models and electronic rating content. Our property specific rating and underwriting information revenue increased 4.9% in the quarter. This increase was driven by higher committed volumes in our commercial underwriting business. EBITDA increased 24% in the quarter to $248 million, resulting in EBITDA margins of 50.4%. Decision Analytics EBITDA increased 40% to $139 million in the quarter, as a result of acquisitions and profitable growth in the business. The EBITDA in risk assessment increased 8.3% to $109 million, as a result of revenue growth and good expense management. Reported interest expense was $32 million in the quarter. Total debt was $3 billion at March 31, 2016. Our leverage at the end of the first quarter was about 2.6 times. After the sale of the healthcare business, we expect to be at the 2.5 times leverage target, ahead of plan. Our reported effective tax rate was 31.7% for the quarter. Adjusted net income increased 26.1% to $127 million in the quarter. Adjusted EPS on a fully diluted basis was $0.75 for the quarter, an increase of $0.19 – 19%, excuse me. Discontinued operations includes about $0.03 related to healthcare operations and a negative $0.11 for tax liability as a result of classifying healthcare business as discontinued ops. As a result, we reported discontinued operations adjusted EPS of a negative $0.08. The average diluted share count was 171.5 million shares in the quarter. On March 31, 2016 our diluted share count was 170.9 million shares. For shares purchased in the quarter, the average price paid was $69.97. At March 31, 2016, the company had about $353 million remaining under our share repurchase authorization. Our share repurchase program has been successful to-date, generating annualized IRRs above our cost of capital. Free cash flow increased 20% to $256 million for the first three months ended March 31, 2016, including WoodMac. This represented 103.2% of EBITDA, as our first quarter is typically our strongest for free cash flow generation, due to invoicing patterns. These numbers are all for continuing operations. Growth in free cash flow was driven by improved profitability of our business and stable CapEx, partially offset by higher interest rates and fees related to the acquisition of WoodMac. Capital expenditures increased 22.7% to $25 million for the three-month period ended March 31, 2016, driven in part by the addition of WoodMac. CapEx was 5.1% of revenue. We now expect CapEx of about $150 million to $155 million, pro forma for the divestiture of the healthcare business. We continue to manage our capital intensity. We're pleased with the announced agreement to sell the healthcare business and the opportunity to focus on our core competencies and our distinctives. The sales price of $820 million consists of $720 million of cash, a $100 million subordinated promissory note, and other contingent consideration. As you saw in our 10-Q, the note has an 8-year maturity and a 9% PIK interest rate. The consideration, which is unrelated to the note, is tied to the future value of the healthcare business, and provides upside to our sales price under certain conditions. We expect the deal to close by the end of the second quarter. We anticipate the after-tax proceeds of approximately $675 million, of which about $600 million will be received at closing, and the remainder on the repayment of the promissory note. The precise tax amounts will be determined after we've all adjusted for the working capital. On an estimated after-tax basis, the IRR generated exceeds our cost of capital. Of the cash proceeds, we expect that the majority will be allocated to our longstanding capital allocation priorities. In the near-term, we intend to use the proceeds to repay our revolver drawings, but we'll then use that increased revolver capacity, as opportunities arise, for our long-term capital allocation plans. While we manage the transition, some of the corporate cost to support the healthcare business will remain with Verisk. I'd like to thank all of our Verisk and Verisk Health teams for the hard work that has gone into this transaction. We are excited for the future of Verisk, and we wish our colleagues at Verisk Health the very best as they move forward. As you think about your models for 2016 on a continuing operation basis, we encourage you to review Table 8 in last night's press release, which contains selected financial metrics for 2015 on a continuing operation basis by quarter. We expect that based upon current FX rates there is about a $10 million impact to full-year revenue relative to where rates were at the start of the year. As FX is a component that has become more relevant to Verisk, we would look to provide more insight going forward. For the full year 2016, we expect CapEx of about $150 million to $155 million. Fixed asset depreciation/amortization of about $132 million and amortization of intangibles about $95 million. Based upon our current debt balances, we expect interest expense to be around $123 million. We estimate the tax rate to be in the range of 32% to 33%. The healthcare divestiture may help that tax rate a bit, but by less than 50 basis points based upon the information we now have. For the intangible amortization add-back and the adjusted net income calculation we will use 26% to reflect the tax rate applicable to our intangible assets. And finally, we expect the diluted weighted average share count of about 172 million shares before incremental repurchases. Overall, we are pleased with our plan for 2016, excited about the go-forward financial profile of the company. We are executing on our operational plans, and we are well positioned for profitable growth in the future. With that I'll turn it back to Eva for a comment before Q&A.
Eva F. Huston - Senior Vice President, Treasurer, and Chief Knowledge Officer: Thanks, Mark. We appreciate all the interest in Verisk. Given the large number of analysts we have covering us, we ask that you limit your question to one question and one follow-up. And with that, I will ask the operator to open up the line for questions.
Operator: Your first question comes from the line of Bill Warmington from Wells Fargo. Your line is open.
William A. Warmington - Wells Fargo Securities LLC: Good morning, everyone.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Morning Bill.
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Hi, Bill.
William A. Warmington - Wells Fargo Securities LLC: And congratulations on selling the healthcare division and then also on crossing the 50% EBITDA margin threshold. And that's where my question is this morning is you've gone from a 43% to 45% range to a 45% to 47% range and, last at the Investor Day you talked about expanding margins over time. And how should we think about that? Are you still committed to expanding the margins over time? And then also how should we think about the quarterly margin progression throughout the year, now that you don't have healthcare there?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Sure, so this is Mark, Bill. Thank you for the earlier comments. Let me just remind (16:48) some (16:48) – in the second quarter, this is just kind of the quarterly aspect in response to your question, second quarter we do have our salary increases. A majority of – a super majority of both married and promotional increases come in and effective April 1, so that typically hurts us from a margin perspective as you progress through the year. What we also do is we give out our equity awards. So what will happen is this year's equity awards will come in; the equity awards from four years ago will kind of move out because they're vested, so those two things will affect the rest of the year. The other thing we always like to just remind, we continue to make progress, but we did, for the most part, had this talent realignment in risk assessment, so there's some staff that we are continuing to hire and that will ramp up as we progress through the year. We did some hiring in first quarter, but probably still a little bit behind the levels we expect. So those are the couple of points that I will call out. The other thing that I think to your earlier question, remember, what we have as a business that's wonderfully scalable. It kind of comes to how much investment we wanted to do and we need to kind of talk about the opportunity to take advantage of that operating leverage. I don't think we see a lot of incremental investment relevant to revenue, so I think we have over the long-term an opportunity to continue to work on margins and move those in a positive direction.
William A. Warmington - Wells Fargo Securities LLC: Okay. Thank you for the insight.
Operator: Your next question comes from the line of Tim McHugh from William Blair. Your line is open.
Tim J. McHugh - William Blair & Co. LLC: Thanks, guys. Just, I guess questions on the insurance vertical. One, can you elaborate a little bit more on, you mentioned growth was led by the claims analytics part of Decision Analytics which I would've thought of as the most mature part of that business, so I guess, what's driving that growth? And then secondly, the true-up for I believe it was Xactware, can you talk about that? And I guess also from a margin perspective, does most of that revenue just flow through to the margin line? Just trying to understand how that impacted margins for the quarter? Thanks.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yeah. So Tim, it's Scott, and I'll take the first part of your question. There's something going on in claims, which actually is going on across many of the things we do in insurance, and that is we are as – implicit in your question, we are well-platformed, that is true. But what we've been doing is working to enhance the value in many cases by sort of building around the platform, adding features which help the customers get more value out of what we're doing. And that's true, not only on the claims side, but that's also true on the underwriting side as well. So it's not any one thing. It's actually very broadly based. New products that bring, for example, more analytic acuity to trying to figure out within the claims flows which claims should really get the most attention because they represent the greatest dollar recovery opportunity for the customers, and that's just one example. But the general story is think of it as embroidering on top of the platforms that we've already got. And then, Mark, maybe you want to take the question about the true-up?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Sure. So inside of our healthcare – excuse me, inside of our insurance businesses we have a lot of licenses and partnerships which combine a kind of an upfront amount and then there's kind of true-ups based upon how much our partners sell. So inside the true-up we have kind of a royalty component, and sometimes we need to true-up past volumes or past royalty amounts and that's what you're seeing in the first quarter.
Tim J. McHugh - William Blair & Co. LLC: And is it really from a margin perspective? Is it right to think there's not a lot of offsetting costs when you true-up?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: That'd be true. Yeah, I mean, I guess we incurred the cost probably in the past, like 2015, but correct.
Tim J. McHugh - William Blair & Co. LLC: Okay. Thank you.
Operator: Your next question comes from the line of Jeff Meuler from Baird. Your line is open.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Yeah, thank you. Just first revisit what you said on WoodMac, I think you said flat for a full-year as reported, just wanted to verify that includes, I guess, an FX headwind? And then you're not adding back the acquired deferred from a purchase accounting standpoint, are there any other adjustments in that number? And if you could remind us roughly how much has the acquired deferred add-back been adding to the WoodMac year-over-year trends you had been reporting since the acquisition?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Yeah, just to clarify, what I said was on a constant currency basis we'd be flat as reported. So I just want to make sure you threw in the FX on top of that, so I just did want to call that out; we do try to factor that in. So, that hopefully is clarifying. I think we could see growth, yes, for the year, but the environment is a difficult one for everybody, and we're trying to work through it. I think our team's done an extraordinary job to be where they are.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): But just on the acquired deferred, I think you had been adding it back to the numbers you had been quoting since the acquisition, and now that you are lapping it, it sounds like you're giving us a reported number. So just if you could help me with that differential?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Sure, I mean, your point is valid. I guess, we are in the point where we can be a little bit above; we can be a little bit above. The difference between the two is not all that material since it's a few million dollars that we're talking about.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Okay. And then just finally on the healthcare divestiture, I think it's pretty easy to calculate the EBITDA multiple that it transacted at externally. But can you give us what the LTM free cash flow multiple of the transaction was if you have it handy just so we can do apples-for-apples with how you were talking about the WoodMac acquisition purchase price?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Yeah. I think we'll have to follow up, so we can get you the accurate numbers there. I'm sorry I don't have those in front of me. That was a little while ago.
Jeff P. Meuler - Robert W. Baird & Co., Inc. (Broker): Okay. Thank you.
Operator: Your next question comes from the line of Manav Patnaik from Barclays Capital. Your line is open.
Manav Patnaik - Barclays Capital, Inc.: Yeah. Good morning.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Morning.
Manav Patnaik - Barclays Capital, Inc.: Just wanted to ask a little bit around the capital allocation you talked about. But firstly just, Scott, you mentioned an active, I guess, tuck-in M&A pipeline. And I'm just trying to understand or just get a little bit more color on where you're seeing these? I mean, I guess, my initial impression was it'll be more the PCIs and the Infields. But I don't know if I should be reading into the Ireland insurance acquisition you made that there's a lot more in some of the other verticals as well?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Oh it's, the M&A agenda expands all of the verticals and what I would say is very active across all of them. And, actually, the place where incrementally we have put in the most energy to raise our game on the M&A front, actually, has been in the insurance vertical. And I would say especially non-domestic. And so we're very much leaning in on that agenda and quite active actually on that front.
Manav Patnaik - Barclays Capital, Inc.: Okay, fair enough. And then I guess just a follow-up on in terms of the outlook for Argus, I think at the beginning of the year you guys have said you expect double-digit growth there. I just want to confirm if that's correct? And if that's sort of a reported number and not backing out the one-time stuff that you had last year?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: That is correct and that is not backing out the one-time stuff.
Manav Patnaik - Barclays Capital, Inc.: All right. Great. Thanks a lot, guys.
Operator: Your next question comes from the line of Andrew Steinerman from JPMorgan. Your line is open.
Andrew Charles Steinerman - JPMorgan Securities LLC: Good morning. Scott...
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Good morning.
Andrew Charles Steinerman - JPMorgan Securities LLC: Scott, I think you were indicating last conference call that you thought within the insurance verticals that both RA and DA would accelerate this year. Do you still think that's the case?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yep, we feel good about insurance.
Andrew Charles Steinerman - JPMorgan Securities LLC: Okay. Could you talk a little bit more about RA because obviously that would have to pick up throughout 2016 from first quarter levels to accelerate for the first year?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yeah. Well, it's – RA is a rich mix of the industry standard programs and the new solutions that we brought to market recently which would include our predictive models, our electronic rating content and also innovations around the – in the category of telematics. We're using our commercial property capability to spread out in the new verticals. All of those things are contributing to the performance of that segment.
Andrew Charles Steinerman - JPMorgan Securities LLC: Okay, thank you.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Your next question comes from Joseph Foresi from Cantor Fitzgerald. Your line is open.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. I was wondering if you could talk a little bit about your expectations for growth for energy for next year. I know that it is fairly early, but it seems like we've gotten to sort of a flat constant currency growth rate at this point. And so I'm wondering, how should we think about that in relation to the price of oil? And then I have one follow-up.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: So, here's the view about WoodMac. WoodMac, right now in our view, is laying the foundation for its next round of growth. So what's going on right now? Customer retention is very high. The new product pipeline is robust. The utilization of our portal offerings is growing strongly, and we're also opening up new channels of distribution for our proprietary content. The challenge of the moment is the extreme pressure on our customers, who are almost two years into this down cycle, and they're still laying off some of their associates. And so they're seeking, even at this time, cost-savings anywhere they can find them. But our view is, because our customers are leaning out their staffs, when the market returns to more normal conditions, demand for WoodMac tools and solutions will escalate strongly, and that's why we are staying the course, and we're remaining invested in the present and the future at WoodMac. Having said all of that, the one thing that we will never do is make pinpoint predictions of the commodity. We certainly expect more normalized conditions into the future, and we'll see when those occur, and we're hopeful about that, because it'll be good for our customers. But we've said from the beginning, and we still maintain that, in normalized market conditions, we expect Wood Mackenzie, and the pieces that we've added to Wood Mackenzie, to grow at or above the rate of organic growth of the rest of Verisk.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. And then just as a follow-up, on the margin side, what's your biggest opportunity to move margins up as you look across the businesses? I'm wondering if you could just maybe rank the top 3, and where you think that there's the largest opportunity to kind of move margins higher? And any commentary you can give on pricing? I figured I'd sneak one in.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Well, it's not three factors, it's one. And that is – it's the fundamental nature of our business. The way we do business is fundamentally scalable. So as long as we have a healthy business which is growing, and as long as we pay attention to tightly operating our business, that is where the margin opportunity lies. We've made some structural changes to the company where, for example, just systemically, our tax rate is lower, but otherwise it's basic to the way we do business. It's not – there's no one long lever.
Joseph Foresi - Cantor Fitzgerald Securities: Thank you.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Your next question comes from David Togut from Evercore. Your line is open.
David M. Togut - Evercore ISI: Thank you. Good morning. Scott...
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Good morning.
David M. Togut - Evercore ISI: ...earlier you mentioned your interest in doing international acquisitions, particularly in the insurance vertical...
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Right.
David M. Togut - Evercore ISI: ...can you talk a little bit about the platform that WoodMac gives you internationally as you expand your presence in other verticals, outside of the U.S.? I'm thinking in terms of resources, operating leverage?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Right, all that. I had the opportunity, the latter half of last year, to visit many of our WoodMac offices around the world. And it really caught my attention when I was in Beijing. So, in Beijing, we have about 30 to 40 WoodMac people. And at the moment, we have four or five people for our AIR unit, which is our catastrophe modeling unit in the insurance business. We brought them all together in order to just talk about the company, and just your typical town hall meeting and – to talk about the future. You would've thought that these were long-lost relatives who had just found one another after decades. The pleasure of being able to pull together, in a single market, share ideas, and share just even infrastructure, so all those folks previously had not been co-located, now they're co-located. In an intellectual property business like ours, it's just absolutely golden when you can get people ideating with one another, and we remain very interested in the intersection of energy and insurance, and it is something that increasingly is going to be very important for us. And so, just at a very basic level, the ability to pull together intelligent people, have them sharing what it is they're doing and finding the mutual opportunities, is so big. And we've commented many times in these calls that the right way to think about a global Verisk is as a multi-domestic Verisk. In other words, in many of the markets we serve, and I'll use insurance as an example; a Chinese primary carrier is not really all that interested in what happened in the United States last quarter, in terms of premiums and indemnity losses. They just aren't. It's not that relevant for them. So we have to be more Chinese in China. But the fact that we're already legitimate in China actually means quite a bit, and it's just very supportive. And also, as we try to source new talent, the fact that we're a reputable, credible player in all of these markets is a very major factor. And we're experiencing that right now as we try to add new highly talented local-market appropriate associates in a number of places around the globe. So it's – maybe it's a little bit difficult to spot from a distance. It's a very powerful effect actually inside the company. Mark, I think you wanted to add something?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: I was just going to add it just to give you a little color from kind of a little vignette. In the world of China just to kind of tag along that comment, we think we can do some things around buildings to help understand the risk associated with those buildings and what it would cost to underwrite them. And there were some reinsurance brokers that were interested in the tool that we were developing for China. I'm not sure we would've had a way to put that on the ground and actually respond to that without the offices we had there and it made for a – beyond the incorporation and we went there (33:02), we had people there with cards that were Verisk. So just a case in point.
David M. Togut - Evercore ISI: Thank you. Greatly appreciate your perspective. Just a quick housekeeping question for you, Mark. What was the March quarter EBITDA that the healthcare business generated?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: It is in the discontinued ops area. You can see it and I believe it was about 21%-ish. I think that was around there. It did include some transactional related costs.
David M. Togut - Evercore ISI: Understood. Thank you, very much.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Your next question comes from the line of James Friedman from Susquehanna. Your line is open.
James Friedman - Susquehanna Financial Group LLLP: Hi. Thanks, it's Jamie at Susquehanna. Scott, in your opening remarks you were talking about the Verisk distinctives and that was helpful. One of them that you had called out was the increase in subscription revenue as a percentage of the total pro forma for healthcare. I was hoping you could elaborate on that a little bit.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Meaning, why we care about that or just where the number goes? Are you asking where the number goes, too?
James Friedman - Susquehanna Financial Group LLLP: I didn't want to get too – I mean, if it's too specific quantitatively, that's fine, but directionally is that as significant?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: No, I mean, I think we can – yeah, so let's, I think Mark is looking up the number right now. I'm not sure if you've got it there, Mark. But it's just part and parcel of what we do. The fact of the subscription revenue really goes to the nature of the relationship with our customers, which is deep and embedded. And it's when you're in that mode that you can move to subscription forms and just the recurrence and the visibility associated with the subscriptions is something that's very supportive of cash flow and operations and forecasting. So we do care about it. And it's one of the reasons why we feel good about the way our mix is rebalanced here now as we move towards the sale of the healthcare business. Mark, I don't know if you wanted to comment specifically on the numbers?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: I think it was 82%.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: 82%. Thanks.
James Friedman - Susquehanna Financial Group LLLP: So, Mark, just to clarify that, what's the denominating? Are you saying that healthcare was – oh, 82% of the revenue pro forma for the healthcare sale is now subscription?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Correct.
James Friedman - Susquehanna Financial Group LLLP: Okay. Yeah. That's really helpful.
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: I mean, hope that was responsive to your question.
James Friedman - Susquehanna Financial Group LLLP: Yeah, that's what I was getting. I wasn't sure if you have that so I thought it might too specific.
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Yeah, we'll take 82%-ish. It's around there, yes.
James Friedman - Susquehanna Financial Group LLLP: Okay. Okay, and then I think also, Scott, you had suggested that it decreases seasonality or – yeah, decreases seasonality...
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Right, right.
James Friedman - Susquehanna Financial Group LLLP: ...yeah, so could you remind us what the seasonal patterns were for healthcare with the sweeps and all that?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Healthcare was 40% first half of the second year and 60% second half of the year.
James Friedman - Susquehanna Financial Group LLLP: All right. All right, you got all the answers. That's very helpful. I appreciate it. Thank you.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Your next question comes from the line of Toni Kaplan from Morgan Stanley. Your line is open.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Thank you, good morning.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Good morning.
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Hi, how are you?
Toni M. Kaplan - Morgan Stanley & Co. LLC: How should we think about growth in the specialized segment non-WoodMac, it seems like that has been jumping around a little bit?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yeah, there was a little perturbation there in the first quarter. I think you're going to find that settles out as we go forward.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Okay, great. And then I just wanted to ask one additional question on your plans for further international expansion in the insurance business. Which geographies would make the most sense, just given the structure of their insurance systems? Thanks.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yep, yep. So you should think – that's a really good question, that's one that we think about quite a bit actually. You should think of us as a portfolio. So, the logical place for us to sort of drill down would generally be established economies that tend not to be overly concentrated in terms of market shares of leading players. So for example, on balance, and also you have to concede that language issues are here a little bit also, U.K. is a little bit better for us than, say, Germany. So we can sort of pick our spots that way. Japan is a highly developed economy that also doesn't have an overly concentrated insurance market, so that would be another. So, that's kind of your first sort. But the other part of it is, we are interested in emerging situations as well. And to that I would call out there, you would have to consider China still to be an emerging situation, so that's one that we look at. But it's also interesting that when you look at the sum of Southeast Asia, it turns that Singapore is becoming something of a hub. And so we're really kind of have both flavors inside of our portfolio. More of the energy will go into established economies, but we're going to feature both kinds in what we do.
Toni M. Kaplan - Morgan Stanley & Co. LLC: Thank you.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Welcome.
Operator: Your next question comes from the line of Anjaneya Singh from Credit Suisse. Your line is open.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Hi, thanks for taking my questions...
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Sure.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): ...I apologize if I had missed this, but could you help us bridge what's changed or wasn't anticipated in your outlook for WoodMac in 2016 versus last quarter? It seems you're now you're looking for a flattish growth versus some growth last quarter. And perhaps if you could give us some color on how your conversations with clients are faring in light of some recovery in the price of oil? Thanks.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yeah. So these are kind of small adjustments in our view, I would say. And it's really just a product of sort of the environment and the rate at which it does or doesn't change. Conversations with customers are overall very encouraging. I had the chance – I don't know, month, month-and-a-half ago to sit with the deputy CEO of one of the world's largest energy companies. And the stories they tell about how they make use of WoodMac content and their focus upon WoodMac as a partner, these are very, very encouraging kinds of stories. And then we just look into the data in terms of, for example, the number of users of our portal offering and the rate at which they're making use of our content, all of which are going up really pretty strongly. But it's also the case that even now kind of well into the nosedives in the pricing of the commodity, there are still reactions in terms of our customers trying to get their own cost structures right. And so – and in the same way that there was a little bit of a lagging effect in terms of the commodity price coming down and then the reaction – excuse me, of the energy companies, you have to expect that there will be some of that also on the way back up. So there will be some timing effects inside of all – I would not expect instantaneous reaction of our customers to what the price of the commodity is doing because the price of the commodity has to work its way into not only their forward plans, but also the way that they're actually spending their own CapEx dollars. And there just will be time dependencies inside of that.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Okay, appreciate it. And as a follow-up as it relates to the DA insurance business, it looks like cat bond issuance reached a new quarter record after not a very exciting year 2015, could you talk about the tailwind that provided in the quarter? And what you would expect if these trends continue for the year?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yeah. So, just first a comment, cat bonds are an interesting category and it's one that we participate in. And it definitely is there in the mix of risk transfer mechanisms that are out there in the world. But I would encourage all to not kind of overstate the amount of risk that gets managed through that mechanism. It's interesting to look at it, because you can sort of carve it out and identify it. You're right, it was a good moment for cat bonds, and our AIR business did very well. The share of the identified cat bonds that our team analyzed was very high. And, as I think everybody knows, we almost always have the vast majority of that market anyway, so yeah, it was helpful. But there's movement also in the cat bond world, don't miss that. There's the move towards the so-called mini cat bonds, and there are different ways that you can actually analyze cat bonds. So, it's kind of a – it's a dynamic environment, I'll put it that way. But yeah, we feel good about how we did with the most recent issuances.
Anjaneya K. Singh - Credit Suisse Securities (USA) LLC (Broker): Okay, great. Appreciate the thoughts. Thank you so much.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: You bet.
Operator: Your next question comes from Arash Soleimani from KBW. Your line is open.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Thanks, and good morning.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Good morning.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: In terms of – can you break out the revenues for Infield and PCI?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Yeah, they're pretty modest in the scheme here. I don't think we've provided that detail in the past. They're not substantial. They're more tuck-in in nature.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Okay, that's fair. And then, with WoodMac, is it fair to think there that the organic should do a little bit better in the second half of the year, given that, I guess, the discretionary consulting revenues were pressured in the second half of 2015? Does that comp get easier in the second half of 2016?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: So the answer is, as reported, it probably could get a little bit better. It really is, again, to the consulting side of things, it's a bit of a swing factor in this, so we continue to try to remain conservative, although it's performing well and the underlying usage is up and strong.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: All right. Thank you for the answers.
Operator: Your next question comes from the line of Andrew Jeffrey from SunTrust. Your line is open.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Hi, good morning, all. A very thorough...
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Morning.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: ...job as usual.
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Thank you.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: My question is actually around Argus. I'm wondering, when you think about the growth in Argus, how much is coming from the core products versus the media or marketing effectiveness piece of the business? And where do you think the relative growth rates of those two (44:46) are?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yeah. I mean, the contributions to Argus' growth are very broadly based ,across not only sort of the traditional consortium model, analytic view, but also the specific analytic products that are being provided to customers, to the white labeling of our analytic environment, to the opening up of new markets, like media effectiveness, to the opening up of new markets geographically. All of those cylinders are hitting.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: So there is no one call out per se?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: No. One of the reasons why Argus is such a wonderful business, and has such a bright future, is that it has many different ways to grow.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Thank you.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Your next question comes from Sara Gubins from Bank of America. Your line is open.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Hi, thanks, good morning.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Morning.
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Morning.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Looking at the margin compression in Decision Analytics in the first quarter, it sounds like organic margins may have been up year-over-year. And so I'm wondering, first, if I'm reading that correctly? And second, if then the margin compression would be attributed perhaps to WoodMac and investments that you're making there?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: This is Mark. I think your observations are correct. Let me just remind you of two facts. First of all, WoodMac has very good margins. However, they have a tough comp in the rest of Verisk, so you are seeing that come into the quarter, that does work against us in Decision Analytics. The other thing you need to look at is, in first quarter of 2015, we kept talking about that project revenue from Argus, and we also highlighted back a year ago, there were extremely high margins on that project revenue. And as a result, that kind of creates an artificially high margin in 2015 in that first quarter. So, those are the two things that I think, if you normalized out, you would see probably a pretty good story inside of organic DA margins...
Sara Rebecca Gubins - Bank of America Merrill Lynch: Okay. And so, as we think about margins in that segment for the rest of the year, it doesn't sound like we should necessarily expect to see significant compression?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: So, I'll highlight the things I made before. We do have all of our salary increases that take effect in April. And we also give out our equity awards April 1 as well, and those will replace equity awards from four years ago. So those are some additional costs that are layered into the underlying structure from second quarter on. But, all else being equal, I agree with you.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Okay, great. And then, sorry to bring this up again, but I just want to make sure that I understand your comments about WoodMac expectations. There are a number of moving pieces between purchase accounting and FX, as well as the timing of when WoodMac came in. On an underlying basis, excluding currency and excluding purchase accounting, is your expectation for 2016 trends lower than or worse than you had previously thought, given the overall environment? Or is your commentary about seeing it flat on a reported basis more a function of the purchase accounting mechanics?
Mark V. Anquillare - Chief Financial Officer & Executive Vice President: Well, I think what we tried to describe is that we remain very optimistic on the business, but we do believe that there are some probably some market economics that are just difficult for our customers and us right now. So in both cases, we think that's going to be down slightly. But still have the opportunity to grow on a reported basis. So I'm just trying to give at least get a little bit more color to everyone.
Sara Rebecca Gubins - Bank of America Merrill Lynch: Okay, thank you.
Operator: Your next question comes from the line of Jeff Silber from BMO. Your line is open.
Henry Sou Chien - BMO Capital Markets (United States): Henry Chien calling for Jeff. Just had a follow-up question on the DA insurance piece, I was wondering if you could share any color on the pricing environment for your services? Just trying to better understand some of the acceleration and the growth there? Thanks.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yeah. I would describe the environment as relatively unchanged, relative to last year and, actually, over many years. One of the hallmarks of the insurance industry is its stability. And so the regulatory environment has not really changed that much. Industry structure hasn't really not changed all that much. There have been a couple of larger mergers, but industry concentration still remains pretty much the same. The way that we price our products has not changed. Probably our pricing actually gets even a little bit tighter as we continue to grow the subscription based part of the mix. So there's really not – there's not a lot of change really in terms of what the environment yields.
Henry Sou Chien - BMO Capital Markets (United States): Okay, got it. All right. Thanks for the color.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: You're welcome.
Operator: Your next question comes from the line of Hansa Mazzarri (50:24) from Sterne Agee. Your line is open.
Unknown Speaker: Hi. This is Kavon Ravon (50:29) filling in for Hansa (50:28). Could you give us a little update on the Verisk telematics stat exchange and how many OEMs are currently signed up? And how large that initiative could be?
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Yep, so you've actually got a couple questions there. So the current status is we're actually in the rollout phase with our first OEM, who we announced some time ago. And we'll be providing product to the insurance industry kind of right around the crossover from third quarter to fourth quarter. So that'll be the first fruits commercially of what we've been doing. We're very pleased with the discussions we're having with the insurers in terms of their interest in the data and the analytics. And we are actively cultivating other OEMs, and I think we feel very good about the prospect of this really being the industry standard. But every OEM is going of kind of think about it in their own light and draw their own conclusions. But we're actively calling on all the name brand OEMs in the United States. So yeah, we feel good about it and the technical work has proceeded very nicely. And we're just kind of all – we're primed. We're ready to go.
Unknown Speaker: All right, appreciate it. Thank you.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: You're welcome.
Operator: There are no further questions in the queue.
Scott G. Stephenson - Chairman, President & Chief Executive Officer: Okay. Well, thanks, everybody, for joining us. We're happy to talk about a quarter that we feel very good about and look forward to being with you again roughly 90 days from now. And we'll be seeing some of you between now and then who are coming to visit us here in the office. We look forward to having you. So thanks very much for your time today.
Operator: This concludes today's conference call. You may now disconnect.